Operator: Good morning. My name is Omer and I'll be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Royalties Second Quarter Conference Call. All lines have been placed on mute to prevent any background noise. Please be aware that some of the commentary may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Watson, you may begin your conference.
Nolan Watson: Thank you, operator and good morning, everybody. And welcome to Sandstorm's Q2 call. As normal, Erfan is in a few minutes going to walk us through the financial results. And then David Awram is going to walk us through a bit of a corporate update. And before we do that as normal, I'm going to give a bit of a business update and answer some of the common questions that investors have been asking us over the past quarter. And at this time, we're going to walk through a presentation that we prepared on the webcast. And so if you have time, please go to that now. So the vast majority of the questions that we've been receiving over the last quarter relate to capital allocation decisions. And so I'm going to walk through that briefly. The high-level business update for Sandstorm is actually pleasantly easy to give this quarter. It's record revenue and record cash flow and record production and gold prices have gone only up since the quarter. And so we're expecting further records of revenue and cash flow et cetera in future quarters. The actual business and the portfolio are performing very well. And the question on most investors mind is, well, what you are going to do Sandstorm with that cash flow. And so we're going to walk through that a little bit right now. And then also one of the questions that we're getting from investors is what does the gold market look like and what our projections going forward. And why is the gold price going up so fast. These are all nice questions to have and things that I'm looking forward to answering here. So we'll go to the webcast and I'll start right away with capital allocation decisions. And first and foremost one of the portions of capital allocation decisions that investors have questions about is our shared buyback program. And as a reminder that we have promised investors that we are going to attempt to buy back 18.3 shares of Sandstorm on the market. And I'm pleased to report that we have completed over half of that share buyback program. We're almost at 10 million shares repurchased on the open market. And there's about 8 million in change shares remaining outstanding to be purchased by us under that share program. As you're probably well aware over the last few weeks, the share price has shot up materially as gold prices have also shot up materially. We have rerun our corporate NAV model and determine what we think at today’s gold prices are NAV per share. And at today's gold prices we think we're trading close to 1x our value per share and for that reason over the last few weeks, we've taken a little bit of a pullback on purchasing shares in the open market. And so the share price appreciation that the investors have seen over the last few weeks has been an entirely organic. And it's been driven by the market and by investors. And we haven't been buying shares over the last few weeks. Our decision related to capital allocation has been that at these gold prices and at these share prices when we're trading close to NAV, we believe that the best use of proceeds is to pay down our revolving debt. So we have continued to do that. In fact, we've actually continued to pay down our debt also materially even since the quarter has ended. And our debt levels are continuing to go down. And we're going to continue to do that at these share prices. But near these share prices if the share price pulls back, we will step back into the market. We will continue this share buyback program. And our goal is to purchase the full 18 million shares still. One of the questions that we've been receiving from investors about capital allocation is how many more deals we think we're going to do. And I'm pleased to report that we are working on a number of deals on average. They tend to be smaller deals and royalty acquisitions. We are literally actively in the process of attempting to close some of those acquisitions. And we do believe we'll be able to continue to increase the number of royalties that Sandstorm has in its portfolio and also continue to pay down debt at the same time and potentially repurchase share. So things are going well from a business perspective. One of the questions that investors have been asking is what we think and what our beliefs are about the gold market? Why the gold prices are running? We just have a couple of interesting slides here before I hand it over Erfan. One of the things that I'm particularly passionate about is watching global debt as a percentage of GDP. I think most people are probably generally unaware that when we had the Great Recession in 2008, global debt as a percent of GDP was about 230%. And that's all forms of debt. That's government debt; corporate debt, personal debt. And today we're standing at about 270% of GDP. So things are dramatically worse from a worldwide debts’ perspective relative to the serviceability of that debt since the Great Recession. And I think global investors are starting to focus in on that and they're starting to react to that. And central bankers are realizing that without much a debt outstanding that they can't increase interest rates. And without the economy falling apart and that's why we're seeing partially due to trade wars, but mostly due to this I honestly believe is the reason that they're starting to decrease interest rates right now. This is too much debt in the world and something's going to happen and people are fearful. And they're starting to move into gold. And if you look on the next slide, we actually charted the total debt in the world again governments, corporations, personal debt in the --during the financial crisis in 2008, total debt around the world is approximately $120 trillion. Today it sits closer to $175 trillion and so just a staggering amount of debt in the world. And gold prices have been going up. As people are starting to realize the underlying cracks in the economy. And this problem is not going away, so when investors ask us questions like where do we see the gold price going, the answer is still much higher over the long term because none of these underlying fundamental situations that have caused this gold price environment, none of those are going to be going away anytime soon. So we're incredibly bullish on our business. We're excited to be having a situation with record cash flows. We think the gold price is going higher. We think our cash flows will be going higher. And we're just very pleased with how our portfolio is performing. And with that I'm going to hand it over to Erfan to discuss the specific financial results.
Erfan Kazemi: Thanks Nolan and thank you to everyone who's listening in. And it's certainly an exciting time here at Sandstorm. With respect to financial results, overall let's say we put together a nice quarter in Q2. I’ll start by discussing some of the key second quarter results. So please refer to Slide 8. We will find a comparison to the second quarter numbers from Q2, 2019 and 2018. The 16,356 attributable gold equivalent ounces sold during Q2 was a record for the company, as was the $21.5 million of revenue that we posted. These totals for revenue in gold equivalent ounces sold were more than 13% higher than the numbers from Q2, 2018. So we saw some nice increases compared to last year. The growth was largely driven by silver deliveries from the Cerro Moro in Argentina. Sandstorm received its first deliveries from the Cerro Moro silver stream in April. And the project quickly became our largest quarterly contributor in terms of gold equivalent ounces sold. The growth in ounces and revenue delivered by Cerro Moro was slightly offset by decreases in gold ounce is sold from the Black Fox Mine in Ontario and the Karma mine in Burkina Faso. At Black Fox, there were some operational issues during Q2 and at Karma; the decline was largely related to the timing of sale. Interestingly, the last time Sandstorm report a record for gold equivalent ounces was back in Q1 of 2017. And for revenue was in Q2 of 2018. I've got a feeling that we won't have to wait as long to the next record in revenue should gold prices remain where they are at, at around $1,500 per ounce. The price of gold has been on quite the run, so we'll see how that translates into Sandstorm's financial results for the remainder of 2019. Speaking of the gold price, you'll notice in a chart that our average realized gold price per attributable ounce sold was slightly above $1300 in the second quarters of 2019 and 2018. And our average cash cost per ounce was about $300 giving us healthy margins of more than $1,000 per attributable ounce of gold. The last two items on this chart that I would like to address our cash flow from operations and net income. At $12.7 million, cash flow from operations slightly lower than Q of 2018. This is largely related to changes in working capital, and when you actually adjust for working capital changes, the cash flow exactly higher quarter-over-quarter in a record and coming in at $2.4 million net income was significantly higher when compared the same quarter in 2018. The change in these figures is due to a number of factors including the aforementioned increase in revenue as well as a $1.9 million increase in gains recognized on the revaluation of the company's investment. This was partially offset by $3.3 million increase in non-cash depletion expense, primarily driven by an increase in the number of gold attributable ounces sold and a $0.6 million increase in finance expense as we have more debt drawn under the revolving credit facility during Q, 2019 than we had in Q2 of 2018. On to the next slide and back by popular demand we have the Top 10 contributors to our attributable gold of ounces sold. The silver stream on Yamana Cerro Moro mine came in on top and by a wide margin too at 3,470 gold equivalents ounces. For those of you aren't familiar with the assets, Cerro Moro is made up of several high-grade epidural gold and silver deposits that are being mined by both open pit and underground methods. The mine is located in Santa Cruz, Argentina. We like the exploration upside on this asset and Yamana has set some aggressive near-term exploration objectives of adding one million gold equivalent ounces to the mineral inventory within the next few years. To that end, Yamana announced $15 million exploration budget for 2019 to test major structures that have the potential to host new mineralized zones and to generate new targets. And Cerro Moro silver stream is going to be a significant asset for Sandstorm for many years to come. The number two and three spots went to the Santa Elena mine in Mexico and the Chapada mine in Brazil this quarter was about 2,400 and 2,200 gold equivalent ounces sold respectively. These assets along with the seven other mines identified in the list and the approximate 10 royalties contained in other royalties bucket provide us with some nice diversification against fluctuations in quarterly mine production across the Sandstorm's royalty portfolio. In terms of how this breaks down by jurisdiction, we saw 45% of our revenue come from North America; 36% % from South America and 19% from other countries. My last slide shows the trend of Sandstorm gold equivalent ounces sold and revenue for the last four quarters. Based on the year-to-date figures, we've reiterate our guidance and are forecasting 63,000 -70,000 attributable gold ounces in 2019. Our long-term forecast is 140,000 attributable gold ounces in 2020. And with that I'll turn it over to Dave.
David Awram: Great. Thanks Erfan. It's been a great and busy quarter for development and some larger projects. And the deals that we have so I thought I'd just highlight a few of them going forward. We're going to start off with one of our old favorites here at Sandstorm, Aurizona as Q3 will be the first full quarter of commercial production as project reopens. First gold pore was in May and June production checked in at 7,000 ounces with throughput at the mill hitting 90% of the capacity. It's a great restart for this project we've been involved in now for a decade. Despite only being in production for half a year, Equinox the operator is still guiding for 75,000 to 90,000 ounces in 2019. Also important to note is that when the monthly average gold price is over US$1,500 per ounce our NSR slides up from 3% to 4%. So the higher goal price we have been experiencing is extra important to us to this project. Of course, exploration drilling continues at Aurizona, we're looking forward to seeing those additional results as they come in. The rising gold prices are extra helpful to us on this asset. Over to Hounde and the huge exploration project run by Endeavor mining. Over 400,000 meters of drilling that have been done in the last few years. And Hounde has been having some great successes in the Kari pump Center and West areas with a new reserve already released in Kari pump, some very positive drilling has been released from the Kari Center in Kari West areas. We're particularly interested in Kari Center and Kari West since they fall mostly within the boundaries of our royalty. And so far, have asset grades exceeding current reserve grades. On Slide 14 you can see some of the intercepts on Kari Center and Kari West which are all over 3.9 grams per ton with some intercepts over the half ounce level. From section to section, the mineralization appears really consistent which is key for developing a good resource. Kari Center mineralization has been discovered over an area of 1,300 meters long along strike and 400 metres wide and it's still open. But there's also a new zone in Kari Center which has a 2,100 meter strike length with a width over 400 meters wide which is still open as well. At the Kari West, there's a 100 meter by 500 meter mineralized zone and it's open as well too. 90,000 meters of drilling is expected to be completed before year end at the Kari area. But they're also going to do some drilling at Vindaloo where the existing pit is and other high-priority targets. They've begun met metallurgical and geotechnical tests on those areas and there's a dedicated EIA that's already begun initiated. So there should be news on the Kari deposits for resources and potentially even reserves before the end of the year. Now moving on to Agua Rica. So significantly this quarter there was a release of the Agua Rica pre-feasibility study by Yamana. Some of those details of that pre-feasibility study you can see on slide 15. So as a reminder in late 2015 Sandstorm purchased an early deposit gold stream on the asset as part of our Chapada copper stream and our Cerro Moro silver stream financing. So Sandstorm has the option to pay maximum $225 million for stream of 20% of the gold from this project. We don't have to exercise this option until the project is 25% completed construction. So well into the project. We also have the option to syndicate all or portion of the stream at that time. This quarter's PFS on Agua Rica outlined an average annual gold production of over 1,000 ounces per year for the first 10 years of the asset, and all in sustaining costs of $1.52 per pound of copper production. And this is all within overall mine life of 28 years plus. A project would utilize the infrastructure of the operating Alumbrera mine and partners on the project are Glencore and Newmont Gold Corp. More studies are being completed at this time with a feasibility study due in mid-2020. We're hopeful that the operating partners will push project forward and take advantage of the operating facilities in the area to get the project off the ground. This is a great example of the embedded optionality in our portfolio of assets. The option cost us only $12.5 million but increases in value tremendously both as a project moves forward and the gold price increases. One day it could be one of the more valuable assets in Sandstorm as it gets closer to develop. So it's really exciting to see this thing move forward. Lastly, I'll speak about Lobo-Marte on slide 16. That's a project by Kinross and it's in Chile. It was one of the royalties we purchased from Teck in early 2019. This project had entered the permitting phase in the early 2010 but soon after was -- the process was pulled. Kinross though has now released the scoping study on the asset with the concept of starting it up following the La Coipa, but restart they have plans as well. Initial economics are positive as this is one of the higher grade projects in the Mara Conga district. We hope to see more information about the asset as it advances studies and creates a strategy for getting all the multiple assets at Kinross operates in that district. Expected to operate for over 10 years Lobo-Marte could produce 4.1 million ounces of gold at a grade of 1.2 grams per ton. The PFS is underway and expected to be completed by mid-2020. And we have a greater than 1% NSR on the project. So that's all I have for now. But of course feel free to ask about any other projects in the portfolio and the Q&A. So with that I'll pass it over to Omar to begin that Q&A session.
Operator: [Operator Instructions] Our first question is from Sherry Deng, Scotiabank. Please proceed with your question.
SherryDeng: First, I have a question on Diavik, I see that the attributable production in the quarter is lower compared to other quarters, but depreciation is higher. I'm wondering why that is the case? Also I see a lower Q2 production compared to other quarters for the past couple years. Is there a seasonal trend?
ErfanKazemi: Hi, Sherry. It's Erfan. Thank you very much for the question. With Diavik what you'll notice is certainly depletion expense had an impact net income, but that was largely related to the quantum of carat that was produced in the quarter and dollar per carat. That seemed to be not a recurring event as we noticed, but it did impact our results for the quarter. And since we've seen some of the results come in that's changed back to where we'd expected the dollar prepared to be.
SherryDeng: Okay. And if there are seasonal trends Q2 is usually lower and I see a thumping Q3 for the past couple years as well?
ErfanKazemi: It has happened that way. There's no actual empirical evidence to show that if that there's a seasonal trend anecdotally there is, but nothing that we can really point to. All I can say is it looks like the trend is isolated to that one quarter.
SherryDeng: Okay. So switching gears to Black Fox, what is your expectation on production beyond this year?
ErfanKazemi: Well, McLeod has invested a bunch of capital into Black Fox. They've also allocated significant money into the exploration around that area. So the guidance that we're receiving is positive. They've put their guidance that they plan on ramping up for the end of this year. And so we anticipate production going into next year as well based on the guidance that we've seen.
SherryDeng: Okay. So you do expect this production beyond 2020 even though you can probably have a number right now, is that correct to assume?
ErfanKazemi: I expect production in 2020, correct.
Operator: Our next question is from John Tumazos, John Tumazos Very Independent Research. Please proceed with your question.
JohnTumazos: Thanks to the team for all your good efforts on many, so many fronts. If we look at the forecast for output of 63,000 to 70,000 ounces or a midpoint of 66,500, it implies 36,000 ounces for the second half up very nicely. It looks like there's about eight different ways the production might be rising. The new project Cerro Moro, Aurizona, Relief Canyon, Fruta Del Norte and then mature projects like Santa Elena., Black Fox, Karma, Hounde, rebounding or rising. In your forecast what are the major contributors to the second half gain?
NolanWatson: Yes. I think you just mentioned them. And the true key I think to the second half gain is that previously we really hadn't accrued much income from Aurizona so Q and Q4 we expect bump from that royalty as well as Erfan mentioned, as Dave mentioned the royalty should be going up to 4% from 3% to go prices stay where they are. So we get not only a price bump but we also get an ounces bump, if you will. And then Fruta Del Norte, from what we can tell they are well on their way to being able to produce gold shortly. And we'll be able to start occurring royalty revenue from that shortly. And that should increase our attributable production and as you said we do expect some bumps from traditional assets that may have had lower quarters. One of the things that is candidly a bit of a headwind for us is on things like copper streams and diamond streams when we're converting revenue of diamonds and copper into that gold equivalent ounces as the gold price is shooting up that turns into fewer gold equivalent ounces. These are kind of champagne problems though in the sense that the vast majority of our revenue is truly from gold and silver. And those commodity prices are shooting up and we're hitting record revenues and record cash flows because of it. So those are the main things that will be increasing revenue going forward for us.
JohnTumazos: As we look to 2020 with Kirazli coming in too, what do you think 2020 is going to be? Could it be 80,000 ounces?
NolanWatson: Yes. We're not going to give specific guidance here on this call. We'll stick to what we normally do which is wait until the end of this year or beginning of next year to give official guidance for 2020. But we definitely expect 2020 to be another record year for us.
JohnTumazos: Concerning Hod Maden, if I could ask one last one with the late 2022 output forecasts, when do you expect groundbreaking? When do you expect final permitting and how much of the financing commitment will be Sandstorm as the construction commences?
NolanWatson: Yes. I'll answer the last part of that. Maybe I'll hand it over to Dave for the first part relating to timing and permits. But from a financing perspective, as we publicly stated in the past the current plan is for 70% project debt financed and so Sandstorm's contribution is still expected to be around $20 million to $30 million range. And in terms of groundbreaking, I guess that depends on how you define groundbreaking. They're already starting to break ground for portals and things like that. The project is moving forward quickly. And we're pleased with the progress that they're making. But maybe I hand it over to Dave to talk about specific permits and how that process is going.
DavidAwram: Yes. So the EIA has been -- it was submitted at the expected time earlier this year. So they're going through that process. There have been public meetings related to this. So the process as we -- it's really the permitting process has gone as expected so far. And we've been pretty happy with how they push to forward. This is a particular concern of the operator. Lidya Madencilik making sure they work on these items as social license and the permitting in the area. So we don't expect any delays beyond really what we've stated so far. Everything seems to be working in that regards. Early works is still something that they're focused on trying to get done. To help make sure that time line is hit. So like Nolan said trying to get some portals to get into the underground and begins some underground kind of development work. And even some surface infrastructure. So a lot of those key items that are important to keeping the timeline on base in terms of permitting, in terms of social license and property acquisition. They're on a good schedule. I think it's matching up with the schedule of the Lidya hoped they would see. And it's really a process of getting through this some of the final design and the feasibility study that's happening really right now. So we'll be able to get better updates on that as we get further on this year as to how those studies and the technical aspects of really what this mine is ultimately going to be built.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would now like to turn the call back over to Nolan Watson for closing remarks.
Nolan Watson: All right. Thank you everyone for calling in to this quarterly call. And as normal if you have any further questions, please feel free to email or call us here at Sandstorm, we would be happy to get back to you with answers. And I hope everyone has a good day.
Operator: And this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.